Operator: Good morning, everyone. Welcome to Coca-Cola FEMSA Fourth Quarter and Full Year 2022 Conference Call. As a reminder, today's conference is being recorded. [Operator Instructions] 
 At this time, I will now turn the call over to Jorge Collazo, Coca-Cola FEMSA's Investor Relations Director. Please go ahead. 
Jorge Alejandro Pereda: Thank you, and good morning, everyone. I'm joined this morning by Ian Craig, our Chief Executive Officer; and Gerardo Cruz, our Chief Financial Officer. Before we begin, please take note of our cautionary statement.  
 As customary, this conference call may include forward-looking statements concerning Coca-Cola FEMSA's future performance and should be considered as good faith estimates made by the company. These forward-looking statements reflect management's expectations and are based upon currently available data. Actual results are subject to future events and uncertainties, which can materially impact the company's actual performance. 
 And now it's my pleasure to introduce our CEO, Ian Craig. Please go ahead, Ian. 
Ian Marcel Craig García: Thank you, Jorge, and good morning, everyone. Thank you for joining us this morning. Let me begin by saying that I am honored to assume the responsibility of becoming Coca-Cola FEMSA's Chief Executive Officer. I am grateful to FEMSA, to our Board of Directors and to our entire organization for their trust and support. I am encouraged by the growth opportunities we see for Coca-Cola FEMSA. 
 I also want to take a moment to recognize  John Santa Maria's contributions over his 27 years at the company. John dedicated himself 24/7 to Coca-Cola FEMSA and guided it through challenging times, including the recent COVID-19 crisis. He leaves the company operating with positive momentum. Thank you, John, for your leadership over the years. 
 It is a very important moment for our company. We are well positioned to continue accelerating our growth. During 2022, we reached record levels of volume, revenues and OI. At the same time, we continued to increase investments in the business. 
 Additionally, we significantly expanded the rollout of our Juntos+ B2B omnichannel platform and expanded our multi-category strategy to explore new revenue streams. Notably, we achieved these results in the face of a volatile environment that affected industries worldwide. These positive results are a testament to our company's resilience, the ability to locally execute the right strategies and the talent and commitment of our team.  
 Now I would like to cover the following topics on today's call. First, I will review our results for the quarter and highlight some of the key achievements for the year across markets, including an update on the rollout of our Juntos+ B2B omnichannel platform. Then, I will close my remarks by sharing an initial set of insights and strategic priorities. We will continue updating you on these priorities as the year progresses. 
 After my remarks, I will hand the call over to Gerry, who will walk you through our division's performance, our financial results and provide you with our financial objectives and priorities. With that, let's begin with a review of our consolidated results for the fourth quarter.  
 For the fourth quarter, our consolidated volumes increased 4.6% year-on-year, reaching 995.3 million unit cases. On a comparable basis, this represents an increase of 3.6%. This volume growth was driven by the positive performance achieved across most of our markets, which was partially offset by a slight volume decline in Colombia. 
 As was the case throughout the year, growth continued across all beverage categories. Our core sparkling beverage category grew 3%, while our noncarbonated portfolio grew 12% and bottled water grew 17%. We continue leveraging initiatives to drive single-serve mix growth. In Mexico, single-serve volumes for the year increased 11%, leading our single-serve mix to increase 1.5 percentage points as compared to the previous year, reaching 30.2%.  
 In Brazil, double-digit growth in both returnable and one-way single-serve presentation led our single-serve mix to reach 23.5%, an increase of 2.7 percentage points year-on-year. Moreover, we continue to accelerate the growth of Coca-Cola Zero Sugar across our territories. This no-sugar offering continues to grow at a double-digit pace across our key markets.  
 Just to share a few examples. In Brazil, Coca-Cola Zero Sugar volumes increased 27% during the year, while in Mexico, its volumes increased to 11% as compared with 2021. Affordability remains an important growth driver. This is exemplified by the rollout of our universal returnable bottle in Mexico. This presentation is now present across our territory with volume growth of 82% versus the previous year, driven mainly by significantly expanded coverage.  
 As a result of these strategies and our point-of-sale execution, we continue to reach record levels of share across key categories and markets.  
 For the quarter, our revenue management capabilities enabled us to grow consolidated total revenues by 14.9% and 18.9% on a comparable basis. It is important to note that this solid top line performance was achieved despite the unfavorable currency translation effect into Mexican peso, resulting from the strengthening of the Mexican peso as compared with other operating currencies. Nonetheless, it is important to remind you that for the fourth quarter, our beer revenues are comparable versus the previous year, no longer impacted by the beer transition in Brazil.  
 Moving on, our gross profit increased 12.9% to reach MXN  27,068 million, while our gross margin contracted 80 basis points to 44.2%. This contraction was mainly driven by higher PET and sweetener costs that were partially offset by revenue growth management. 
 Our operating income increased 15.9%, reaching MXN 9,013 million. Our operating margin remained flat at 14.7%.  
 As was the case throughout the year, this performance reflects our resilience and our team's ability to extract efficiencies. On a comparable basis, excluding M&A and currency translation effects, our operating income increased 18%.  
 Finally, our operating cash flow for the quarter increased 12.3%, reaching MXN 11,954 million, resulting in an operating cash flow margin of 19.5% for the fourth quarter, a 50 basis point contraction. This contraction was driven mainly by a comparison base that included noncash operating foreign exchange gains recognized during the previous year.  
 In summary, 2022 was a positive year for Coca-Cola FEMSA. Our full year volumes surpassed 3.7 billion unit cases, increasing 8.6% year-on-year. Additionally, we reached the highest level ever of top line operating income and operating cash flow. Our top line for the year was MXN 226.7 billion. Operating income reached MXN 30.8 billion, and our operating cash flow totaled MXN 43 billion.  
 I will now highlight some of our operational milestones for 2022. These achievements reflect our positive momentum and how well positioned Coca-Cola FEMSA is to accelerate growth.  
 First, in Mexico, we achieved historic volume of 1.9 billion unit cases, leading the Coca-Cola systems growth in the region by expanding 5.5% compared with the previous year. Our top line growth in Mexico marked the highest in a decade, and we grew in every category and channel, with double-digit growth in the modern trade, single-serve and our zero sugar, hydration and dairy categories.  
 For the year, we further transformed our portfolio by increasing affordable coverage, strengthening the noncarbonated portfolio and expanding multi-category pilot tests that now reach more than 400,000 clients. Additionally, we continued rolling out our Juntos+ B2B platform in Mexico, reaching 383,000 monthly active purchases.  
 Moving on to Brazil. Our nonalcoholic ready-to-drink volume surpassed 1 billion unit cases for the first time in franchise history by growing 12.5% year-on-year. This growth was supported by our improved competitive position, gaining share to reach record levels in key categories such as sparkling, flavors, teas, sports drinks, [ seats ] and energy. Moreover, our Juntos+ B2B platform monthly active purchases increased month-over-month to reach 231,000 by year-end.  
 In Colombia, our volumes for the year also reached a historic 330 million unit case, representing 10.8% growth year-on-year. Our revenues for the country increased double digits as affordability and execution allowed us to gain more than 2 points of share in the NARTD categories. In this important market, we have further focused on expanding our customer base, adding more than 120,000 new clients over the past 3 years to reach a historic client base.  
 Finally, I want to highlight the results of our Guatemala operation. Volumes increased 12.1% for the year in Guatemala, reaching 147.2 million unit cases. This performance was achieved, thanks to our execution, related share gains and client base expansion. During the year, we added more than 14,000 clients, while we continue to strengthen our supply chain and affordability portfolio.  
 In summary, we accelerated the role of our Juntos+ commercial platform across our key territories by adding more than 70,000 active monthly purchases during the quarter to reach 833,000. Digital revenues for the full year reached $1.2 billion, surpassing our target for the year.  
 Our operational highlights include solid results from our supply chain and engineering team. During 2022, our supply chain reinvention project drove more than $55 million in savings. Overall, for the last 3 years, this initiative delivered more than $215 million in savings, resulting from primary freight efficiency as well as reductions in our cost to serve and cost to make.  
 Driven by similar initiatives into 2023, we have identified more than $60 million in potential savings and efficiencies in our operations.  
 Now let me close by sharing with you an initial set of insights and priorities. As I have previously mentioned, we are operating with momentum. We have exciting growth opportunities in the markets we serve and the initiatives in place to capture them. Additionally, we have a clear ambition to build our customers' preferred commercial platform and unmatched rights to win in the B2B space.  
 Let me proceed to list a few of these rights to win. First, we have the largest user base in Latin America, serving more than 2 million clients, with whom we have developed a relationship of trust over the years through consistent customer focus. This is a user base that we grow every year and we delivered to, on average, 1.8x a week.  
 Second, we have an unmatched scale and distribution capability with leading-edge enablers. This gives us the capacity, not only to reach the most remote place in our territory but allows us to do it profitably while delivering a differentiated customer service levels.  
 Third, we carry consumers' preferred brands leveraged by the Coca-Cola Company's beverage portfolio with leading market position in most categories. This gives us relevance at the point of sale and opens the door to serve our user base. 
 Fourth, we have a talented team that has a growth mindset and is used to winning in the market. Our team prides itself in executing with excellence at the point of sale. 
 Fifth, we have 2 shareholders in FEMSA and the Coca-Cola Company that have a growth bias, a long-term vision and are committed to invest behind the business.  
 And finally, we have a strong culture that is focused in generating economic, social and environmental value for our shareholders, our communities and our people. All these strengths uniquely position us to enter a new chapter of growth. 
 I have spent the first months of my tenure in a listening tour, visiting our markets and operations and engaging in conversations with key stakeholders. These visits and conversations are allowing Coca-Cola FEMSA's senior leadership team and myself to learn about the local reality of our teams on the ground and complement our views. 
 After finalizing the listening tour, we have set up an offsite for KOF senior leadership team, where we will review market trends and developments in the B2B sphere. Then later in the year, we will have another offsite, where we will refresh our strategy, vision and purpose. I am confident that this process will provide the senior leadership team at Coca-Cola FEMSA and myself with a clear picture of the environment we are operating in and the path to capture the many opportunities that lie ahead of us.
 As initial insights of this process, I can point to the following set of priorities to chart our next growth chapter. First, grow our core business. We see more runway to grow the core via focus on capturing the fair share of Coca-Cola trademark in all markets and channels; accelerating the growth of Coca-Cola Zero Sugar across our territories; developing growth opportunities in low per capita markets; and achieving the full potential of profitable noncarbonated beverage categories.  
 Second, become our customers' preferred omnichannel commercial platform with Juntos+. We will work to grow our total and digital client base across our markets. We will work to continue to enhance our value proposition, leveraging a curated portfolio of our customers and consumers' favorite brands together with the Coca-Cola Company and our multi-category partners. This will enable us to continue generating network effects, further strengthening our platform.  
 Third, we will adjust our culture and reorganize the way we work. We will place our customer needs at the center of every decision. We will promote a growth mindset, building a multiplier leadership style, empowering leaders to develop our people and foster a workplace that provides psychological safety within our teams. We will redesign Coca-Cola FEMSA structure into a more insights-driven, agile and effective organization.  
 Fourth, continuing to build a purpose-led organization, making sure we are in the right path to achieve our environmental, social and governance targets. We aim not only to reinforce our industry-leading environmental initiatives, but also bolster our social and governance agenda, including community development programs and diversity and inclusion initiatives. 
 And finally, we will continue building on and strengthening the relationship we have with both FEMSA and the Coca-Cola Company, pursuing opportunities to accelerate our growth. I am confident that we are entering a new chapter of growth for our company and sustainable value creation.  
 With that, I will hand the call over to Gerry. Gerry? 
Gerardo Celaya: Thank you, Ian, and good morning, everyone. It is a pleasure to speak with you today. Before reviewing the division's results for the quarter, let me begin by saying that I feel privileged to take this new role as CFO of Coca-Cola FEMSA. I have spent 20 years at the company serving in different financial positions, and I look forward to maintaining close and open dialogues with you going forward. With that in mind, let me begin by briefly summarizing our division results for the quarter.  
 In Mexico and Central America, volumes increased 3% driven by growth across all of our territories in the division. The unfavorable translation effect of all Central American currencies into Mexican pesos had an impact in revenue performance in this division. As a result, our quarterly revenues increased 9.7%. 
 On the profitability front, gross profit increased 5.1%, resulting in a gross profit margin of 46.4% and a margin compression of 200 basis points year-on-year. As was the case during most of the year, our gross margin contraction was driven mainly by increases in raw material costs, such as PET and sweeteners, that were partially mitigated by our revenue management and raw material hedging strategies. 
 Our operating income for the division increased 2.6%, resulting in an operating margin compression of 110 basis points. Our teams were able to leverage savings and efficiencies to partially mitigate pressures. 
 Finally, our operating cash flow margin for the division declined 180 basis points, driven by pressures from raw materials that were offset by a noncash operating foreign exchange gain.
 Moving on to South America, where the division volumes increased 6.6%. This performance was driven by 8.7% growth in Brazil, 7.9% growth in Argentina and 5.1% growth in Uruguay. That were partially offset by a slight volume decline in Colombia. On a comparable basis, excluding volumes of CVI in Brazil, the division's volume would have increased 4.4%. 
 Our revenues for the South America division grew a solid 22%, driven by volume growth and revenue management initiatives. These effects were partially offset by the unfavorable currency translation effect into Mexican pesos from most of our operating currencies in the division. This is particularly clear when excluding currency translation and M&A effects, as our comparable top line would have increased a solid 30.9% during the quarter. 
 Gross profit in South America increased 25.6%, expanding margins by 120 basis points. As was the case for the third quarter, this increase was driven mainly by the operating leverage resulting from volume growth, favorable mix effects and raw material hedging strategies that were partially offset by an increase in raw material costs. 
 Operating income for the division increased 41%, and operating income margin expanded 190 basis points as compared to the fourth quarter of 2021. This was driven mainly by the combination of positive operating leverage, coupled with tight expense controls across our operations. 
 Finally, operating cash flow in South America increased 32.5%, resulting in a cash flow margin expansion of 140 basis points. 
 Moving on, the quarterly comprehensive financing results recorded an increase of 45.9% as compared with the previous year. This increase was driven mainly by: first, a foreign exchange loss of MXN 281 million as compared to a gain of MXN 79 million recorded during the previous year. This loss resulted from the appreciation of the Mexican peso during the period as applied to our dollar-denominated cash position. 
 Second, we recorded a higher interest expense as compared to the same period of the previous year, mainly driven by increases in interest rates. Third, we recognized the lower gain in monetary position in inflationary subsidiaries as compared to the fourth quarter of 2021. And finally, we recognized the lower gain in the market value of financial instruments. 
 These effects were partially offset by a higher interest income recognized during the quarter as compared to the same period of the previous year, resulting from increases in interest rates. Finally, controlling net income increased 23% to reach MXN 7.1 billion, resulting in a MXN 0.43 earnings per share.
 Before we open the call to take your questions, I want to take a moment to share our financial objectives and priorities. First, we will continue prioritizing financial discipline, underscoring our focus on an efficient financial position and our commitment to shareholder return. Second, we will double down on productivity and efficiencies across our P&L. And third, we will allocate capital towards organic growth. Our CapEx for 2022 amounted to MXN 19.7 billion.
 Given the outperformance of our top line, we need to accelerate investments to better serve our markets, customers and consumers. We expect to maintain a similar level of CapEx for 2023, as we continue to invest behind this positive momentum. 
 With that, operator, we are ready to open the call for questions. 
Operator: [Operator Instructions] We'll take our first question from Alvaro Garcia. 
Alvaro Garcia: A couple of questions on my end. Firstly, Ian, you mentioned sort of developing growth in low per capita market. I was wondering if maybe you could expand on some initiatives there. 
 And second, 2 questions for Gerardo. First, we've seen a lot of noise on interest on equity in Brazil. And I was just wondering if that had anything to do with your abnormally low tax rate this quarter and maybe breaking down why the tax rate was so low. You mentioned deferred tax assets. You have a bunch of those there. And then just on how the cash on your balance sheet. I think you generated $40 million worth of interest income alone this quarter, whether or not you expect sort of a more efficient balance sheet with less cash on it going forward. 
Ian Marcel Craig García: Alvaro, thank you for your question. Regarding the initiatives that we have in place, low per capita market, just think of it this way. Mexico, we serve around 65 million consumers in our territories. Guatemala, which is very, very similar to Mexico, we serve 20 million consumers. So very large market that has only 187 per capita. So there's a bunch of runway there. Colombia, 117.5 per capita with 50 million consumers, almost the size of our Mexico franchise in terms of population. Brazil, still at 220 per capita versus 250 for Argentina, 400 for Mexico, talking about CSDs. So the strategies are that we're putting in place there with affordability targeting meals, increasing single-serves as well as on-premise channels. There's a lot of headroom there, Alvaro. And we expect these territories to continue to contributing positively with high growth for us. So we have these strategies to try to capture and grow the per capita there. 
Gerardo Celaya: With regards to your question in terms of deferred taxes, Alvaro. It is not related to Brazil. It's a corporate effect. So it is not related to Brazil. 
 And going to your question regarding balance sheet optimization, let me give you a sense of what we're thinking. We obviously have large interest income this year because we have a large cash position. 
 In this process of review, we are looking into our business needs in terms of investments, what we need to do to reinvest. We are increasing CapEx, as you saw in 2022,  and we expect this moving forward to the next couple of years to maintain a level of investment between 7% to 8% of revenues to fund our ambitious growth plan. We are also assessing growth -- inorganic growth opportunities with the disciplined approach that we've always had throughout the years. We think we have a very solid financial position and firepower to pursue opportunities. And finally, taking into account this flexibility, we will be assessing alternatives before year-end to distribute excess cash. 
Operator: We will take our next question from Ben Theurer from Barclays. 
Benjamin Theurer: Congrats on the results. Just a quick one following up on some of the pilot projects and the execution here. Can you share a little more insight as to the success rate, the turnout and the repeat rates with some of your customers as you now show up with, call it, a broader portfolio? And how should we think about the rollout of these programs into the territory where you're not testing right now, but then also go forward into territory, such as maybe Guatemala, et cetera. 
Ian Marcel Craig García: Hello, Benjamin. I would tell you that the most advanced markets in terms of the multi-category strategy are the Brazil, Mexico and Colombia. We are taking a very -- a lot of care to make sure that we are able to deliver to the customers the goods that -- of our partners that we're partnering with. So it's a complicated process, where you have to manage all of the supply chain, making sure everything is aligned. And a lot of these industries and partners, especially last year, have been pressured with supply issues. So aligning all of the supply chain has taken time for us to do that. We don't -- we want to be recognized by excellence in our delivery. So we roll out these territories carefully, learning and adjusting how we go to market. 
 What I can tell you is most of these categories experienced a relevant increase in coverage and in revenues. The partners that we have are very happy with us. We continue rolling them out, but it's a process that takes time. Brazil, that has been at this for a while, is almost at 2% of revenues on multi-category outside of beer. So it's a process where we have been at it 1.5 years, 2 years and reaching around 2% -- 1.5% to 2% of revenues in Brazil. So to reach a relevant level, such as 5% of revenues on these multi-category offerings, it's still going to take at least 3 to 5 years. So it's a lengthy process. We need to do it in a very disciplined way, learning how it also leverages our core, NARTD business. There's a lot of value to market initiatives that are helping us. 
 But I want to caution that it's a process that will take 3 to 5 years to gain relevance because, at the same time, Ben, we are growing our core and growing it at a high clip. So to become relevant while we're still growing our core business, it will take around 3 to 5 years in our vision. 
 And regarding the other territories, it just have been a natural progression of focusing on the largest market. But during this during this year, we expect a catch-up from the LatAm territories. 
Operator: We will take our next question from Sergio Matsumoto from Citigroup. 
Sergio Matsumoto: And Ian and Gerry, I'm looking forward to working with you. Ian, you had the leadership position in South America division. And now that you are on a new regional , [indiscernible], what examples or opportunities do you see of bringing products or best practices into Mexico and other regions? An obvious example that I can think of on historically, is the rollout of AdeS from Argentina back in a day. Do you see other examples in today's context that are not so obvious to us? 
Ian Marcel Craig García: Thank you, Sergio. I think we have great teams in place in different territories. And the good thing about this is in this listening tour that I'm taking. I'm visiting the operations. You see opportunities to share some practices and initiatives from Brazil, but I've also discovered a lot of opportunities to go the other way. 
 So we're bringing, from Brazil and Mexico, it's accelerating quickly, regarding digital, regarding multi-category, working the [ night ] channels, alcohol. But we're also, for example, seeing in Mexico, what they've done with the universal bottle, reduce drinks in family sizes in universal bottle, things that were not being done in Brazil. From the business in Central America, we see ample headroom for profitable NCBs. There's practically a wide space there outside of Costa Rica that we haven't targeted. So we expect a lot of smiles to come from those initiatives. So I can pinpoint to several, Sergio, but I would mention that they go in all directions. There are many good things in Mexico, many good things in Latin America -- in LatAm territories that we will be cross-fertilizing, as you suggest. 
Operator: We will take our next question from Marcela Recchia. 
Marcella Recchia Focaccia: I have 2 questions. The first one, after FEMSA's strategical review, KOF is now officially perceived as a core business, right? So can we expect any particular change in the relationship or influence from FEMSA going forward? That's the first question. 
 And secondly, we also just heard regarding ground tour and the collaborative framework between KOF and OXXO, just from FEMSA side, and I think it would be very interesting to hear from your side as well. And the question is basically, to what extent this collaborative platform in the traditional channel can increment cost growth going forward? And also in terms of efficiency, if you can also collect something from that end as well. 
Ian Marcel Craig García: Hello, Marcella. As you mentioned, I think this announcement from FEMSA forward vision is very positive and reflects FEMSA's confidence on the outlook and the opportunities that we have at Coca-Cola FEMSA to continue generating growth. So for us, this is very positive. It reflects the fact that the enhanced cooperation framework that we have with Coca-Cola Company gives FEMSA and Coca-Cola FEMSA the confidence to invest to grow the business. 
 There are many opportunities for KOF and for FEMSA in the digital ecosystem in the traditional channel. We can leverage the access that we provide. Like I mentioned, we reached more than 850,000 clients in Mexico. So as such, I can tell you from our point of view, we have ongoing pilots with FEMSA digital, where we're understanding what we can leverage on digital payments on the point-of-sale terminal. There are also opportunities to enhance our Juntos+ loyalty offering, leveraging also [indiscernible]. So these pilots are, as you know, on a very early stage. But I think we're both excited of what we can do and how we can both enhance the offerings for the traditional trade, Marcella. 
Operator: We will take our next question from Alan Alanis from Santander. 
Alan Alanis: Congratulations, Ian and Gerry. I mean best wishes for the new adventure. My question has to do with capital structure. I mean, the Coca-Cola FEMSA is under onetime net debt-to-EBITDA. What's the optimal capital structure that you envision going forward? And if you could give us any hint in terms of what you're thinking in terms of criteria for M&A regarding geographies, regarding scale, regarding product lines and so forth. 
Ian Marcel Craig García: Hello, Alan, how are you? I think it's a two-part question. So I think Gerry mentioned it, in terms of our capital structure, you are right that we have a level of cash in excess. Again, following up on Gerry's comments. First, we're going to be reinvesting in the business. We're going to be entering a 2- to 3-year period, Alan, of growth, where our CapEx should be around the 7% to 8% of revenues level, and this is just organic growth. 
 Secondly, we will continue to assess the inorganic growth opportunities with a very disciplined approach. As you can imagine, the priority for us will be, first, in the Americas. And secondly, we can look outside of the Americas, but our first priority would be in the Americas. And finally, as the year progresses and before year-end, we will look to alternatives to distribute excess cash, but first covering the 2 other priorities. 
Operator: We will take our next question from Rodrigo Alcantara from UBS. 
Rodrigo Alcantara: Congrats, Ian, for the appointment. My question is regarding the recovery observed in your distribution. Just wondering if you can comment a bit about trends in terms of volume and pricing in beer [indiscernible] here in Brazil which is expected to have a very strong pricing in the quarter. So my sense is that the volume, perhaps we continue to see some pressure there for you guys. So just curious if you could comment on that? And also [indiscernible] performance by brands, Tiger,  [indiscernible] Eisenbahn has been the one that -- has been the one that performed the best, right? So any comment that you can also give us on performance by brand on beer would be helpful, Ian. 
Ian Marcel Craig García: Hello, Rodrigo. So I think your question is very pertinent. Let me put it this way. Before the exit of Heineken, we had around 180 million cases of beer. And with the exit of both the Heineken and Amstel brands, which were very important and it was the leading premium beer and an important mainstream beer. We went down to 70 million cases or so. And we should be, around last year, nearing 80 million unit cases. So that gap that we have to close is very large, and it's going to take around 5 to 6 years. It basically means doubling the size of the beer portfolio that we have now. And beer takes time. As you know, there are many offerings. So I would say different -- you'll see different things happen to our beer portfolio. So going from the bottom up, we're gaining a lot of sharing economy, but it's a segment that is contracting. So we're running and growing in a segment that is contracting. 
 In mainstream, like you mentioned, we're launching new beer, which is Tiger. We're learning how to communicate it to the target. It's looking for a future forward-looking consumers. It has a positioning with a beer bottle. So we're learning how to work it. It's starting to get repurchases. But it's going to be a project that takes time because it's a mainstream beer in a different type of pack and presentation from the normal Ambev-like beer presentation for the mainstream segment in Brazil. 
 Then in upper mainstream, we have Therezópolis, which is doing very well. It's been there as the second oldest brand in Brazil and was pretty much forgotten in the shelves, and we're starting it up again. 
 And we have in premium, Eisenbahn, which is a phenomenal beer. The Eisenbahn Pilsen won a gold medal of the World Beer Awards in 2022. And it's playing in a segment -- the premium that is growing but at a level where there's a lot of competition with patent from Ambev and many other offerings. So you have Heineken playing at the top of the premium segment. And the rest of the premium offerings, including Eisenbahn, which is a main star there and sole playing in a field that has gotten more crowded over the years. So I would tell you we're doing well. We're gaining share, but it's going to be a process to come up with 80 million to 100 million unit cases of beer that is 5 to 6 years in the making, at least. Does that give you clarity, Rodrigo? 
Rodrigo Alcantara: No, yes, yes, that was actually more than I expected. So just a very simple question here. Those -- the extra money coming from the multi category, what are you guys reporting that? Inside this line as well or -- I know that is small, but just to be sure. 
Jorge Alejandro Pereda: Rodrigo, it's Jorge here. Yes, we report that on the revenue line. So it's on the total revenues. It's included in there. 
Operator: We will take our next question from Ulises Argote from JPMorgan. 
Ulises Argote Bolio: So my question was mainly related here on the digital business and maybe trying to figure out how CapEx-intensive is part of the businesses, how much money are you putting into the Juntos+ initiatives that you're rolling out? Obviously, this is a key part of the strategy, and you're focusing a lot on this. So how are the investments that you are planning for this part of the business, how should we think about allocation on this side? And maybe if you can comment if there's any opportunity there on inorganic growth on this side as well? And what could be I don't know, potential target for size dynamics, et cetera, they're across the markets. 
Ian Marcel Craig García: Ulises. I can tell you, I mean, when we talk about the level of CapEx that we're reaching is basically driven by our core business. The investments that we have behind our platform are relevant, but that's not the lion's share of our CapEx. And we are making sure we are very, very disciplined in the amount that we allocate to our IT spend. And there are many things that we would like to develop and accelerate, but that don't necessarily have the delta or the impact in the stickiness that justifies accelerating or bringing upfront additional IT spend. So we're making sure that we have it at the level of corporate IT spend and CapEx that we can drive on a consistent basis and making sure we prioritize and not get crazy bringing forward initiatives that are interesting, but don't reflect in material stickiness or any edge. 
 So we're going to be very disciplined about that, and that's not the lion's share of the total CapEx that you're seeing. That is not the reason why we hit the 7% to 8% revenue threshold. That is driven by organic growth in the business, okay? 
Ulises Argote Bolio: Okay. Yes. Super clear. And anything on inorganic there that you could comment? 
Ian Marcel Craig García: We are assessing. As you know, what has happened with higher rates, many digital players that had deep pockets are starting to run into the realities of cash burn rates and high customer acquisition costs, which are 2 things that we are not facing because we already get to the largest user base in a profitable way. So we're looking at opportunities, technologies, anything that can complement us. And we'll keep evaluating and nothing more that I can say on that regard other than we're keeping our eyes open. 
Ulises Argote Bolio: All right. No, that's super clear. And then a follow-up, I think, on a completely different topic, if I may, but any kind of direction or color that you could share on where you see kind of your margins trending into 2023? Any color there on how you're seeing top line evolution, volumes, hedges, all of that? 
Ian Marcel Craig García: I think it's relevant to talk about the outlook in general. So on the one hand, we are seeing an environment where governments are trying to rein in inflation, as you know, with high rates. And this is a force that we'll be facing, which tends to impact spending. But on the other hand, we have markets, such as Mexico and Guatemala, with positive influences on consumption with investments that are coming from the new sharing trend and election-related spending. 
 So going into this background, we have positive momentum, as I mentioned, and initiatives to grow our business. So we should be expecting around mid-single-digit volume growth as we navigate this environment that has offsetting forces. 
 Regarding margins, we expect continued pressure coming in from input cost carryover. However, we have programs in place to mitigate these pressures, such as RGM initiatives to enhance our mix. We have currency and raw material hedges and productivity initiatives to help mitigate these pressures. 
Ulises Argote Bolio: All right. Perfect. Congrats on the results and on your appointment and Gerry's. 
Ian Marcel Craig García: Thanks. 
Gerardo Celaya: Thank you, Ulises. 
Operator: We will take our next question from [ Lucas Muse ] from Morgan Stanley. 
Unknown Analyst: So I wanted to touch base a little bit more on Brazil beer. You guys just said that it's going to take about 5 to 6 years to recover volumes lost from the termination of the agreement with Heineken. I just wanted to know what is the plan here going forward? Is it to invest in new plants, produce beer? Is it only to bring more brands, distribute more? And in that, will it be more premium beer? Will it be more mainstream? Will guys still be on economy and gain share in spite of the category being down? I say this because there was another bottler player that already announced CapEx more directed to producing beer in Brazil on the next couple of years. So just wanted to get your view on what is the plan here going forward. 
Ian Marcel Craig García: Lucas, in terms of our Coca-Cola FEMSA territories in Brazil, there's ample toll packing capacity that we're accessing and our beer partners are accessing. So there's nothing, at least in the short to medium term, where we see the need for any sort of beer capacity CapEx.
 And our main partner is Heineken. They are investing in CapEx to suppliers. The relationship we have there make sure that we have the supply that we need, and we're working very well with them in the rest and OP. So I can tell you with the portfolio that we have, we're looking to grow in the segments that we have. We will not deemphasize any of the 3 segments where we play. And the trends of these segments, however, I expect them to continue to be. So I hope that answered your question. 
Unknown Analyst: Yes. Perfect. Thanks. 
Operator: We will take our next question from Thiago Bortoluci from Goldman Sachs. 
Thiago Bortoluci: Yes. Hello, can you hear me? [indiscernible] if you can hear me, guys. 
Gerardo Celaya: Yes, Thiago. 
Ian Marcel Craig García: Yes, Thiago. We hear you well. Hello. 
Thiago Bortoluci: Congrats on the results. I'm sorry to bring the discussion, but I think it's important from further risk, right, which is related to tax credits from the Manaus Free Trade Zone, right? We heard in the beginning of the year, a few reports from industry players eventually questioning, once again, this is properly due. The focus was more on [indiscernible] at the moment, but obviously, the Coca-Cola system as a whole also falls behind the same discussion, right? 
 So I'd just like to recap where are we in terms of IPA tax credit recognition from the Manaus Free Trade Zone? And also hear a little bit more from you what are the potential contingencies that you have related from this? How much of this is provisioned? How much of this is not? And what is your risk assessment eventually, if there is any relevant process going on? Just a quick update on this. 
Gerardo Celaya: Thiago, thanks for your question. Regarding tax-related issues IPI specifically, very important to mention that we always -- everywhere where we operate, we follow all legal and accounting rules to calculate and account for tax credits. In addition, we provide disclosure of tax disputes regarding KOF in our 20-F and all sort of financial statements. These disputes may be a result of this agreement regarding interpretation of regulations -- viable regulations. And an unfavorable outcome had been classified as possible, which means the risk is less than probable, but not remote. 
 And regarding the last part of your question, tax contingencies. As you know, this is a regular course of business in Brazil, but disclosed in our 20-F for 2021, it's approximately MXN 30 billion equivalent registered as contingency regarding IPI specifically. 
Jorge Alejandro Pereda: And I think, Thiago, just to complement on Gerry's, Jorge here. I think all in all, as Gerry mentioned, we have this, and we don't really see any changes on the as dynamics as tax situations are always. But at this point in time, we don't see any changes that will change our approach to IPI. 
Operator: We will take our next question from Fernando Olvera from Bank of America. 
Fernando Olvera Espinosa de los Monteros: The first one is related to South America. What exactly explains the margin expansion seen during the quarter? And if you can comment what was -- which country was behind such improvement? And based on the guidance you just share, I mean, how should we think about margins in this division this year? 
 And my second question is related to Argentina. This is the second year that the country registered a strong volume growth. So how are you thinking about volume performance this year also compared with the guidance that you provide? And how much room do you see for volume to keep improving in coming years? I mean if you think that volume can return to levels -- to the levels seen in 2014 and 2015, which was around 230 million unit cases. 
Gerardo Celaya: Fernando, with respect to your first question regarding margin expansion in South America division, it is explained mostly by Brazil and Argentina that were able to absorb fixed expenses -- diluting fixed expenses. As you know, top line performance, especially in Argentina, but also in Brazil have been doing quite well and did quite well in the fourth quarter. The ability of the team to dilute fixed expense can purely be the explanation behind this margin expansion. 
 Going forward, we expect stable margins. As Ian mentioned a couple of minutes ago, we do foresee a continued pressure, but certainly I feel very comfortable with our abilities with revenue management capabilities and our hedging strategy to be able to maintain margins moving forward. 
Jorge Alejandro Pereda: And Fernando, it's Jorge here. Yes, regarding Argentina, I think, obviously, it's very dynamic. We have to acknowledge that the environment, of course, we have an approach where you cannot plan, of course, very long term. So we manage the business day to day. But having said that, the businesses, as you mentioned, has been doing very well. 
 So I think in line with what the guidance has been in Argentina, I think we expect something in line with that. We have seen very strong traditional and on-premise channel performance. We expect that to continue. Obviously, we have initiatives in place regarding affordability strategies, the noncaloric portfolio, also a focus on single-serve mix growth in Argentina, that has been very important. And we expect that to continue to be the case in '23. So all in all, I would say that Argentina is in line with the guidance that Ian mentioned before. 
Operator: We'll take our next question from Felipe Ucros from Scotia Bank. 
Felipe Ucros Nunez: Gerardo, good luck on this new journey. Most of my questions were addressed, but I wanted to do a follow-up on Marcella's question. And I'm just wondering, with some overlap of the portfolio that OXXO's carry and the traditional stores carry, I'm wondering if you already have some sort of idea of the role that physical OXXO stores could play in the distribution to traditional. And obviously, you're just starting to -- starting on this, and I'm sure a lot of testings still has to happen. But do you envision having a model that includes using OXXO's stores as small urban [ DCs ]? 
Ian Marcel Craig García: Hello, Felipe. We are in very initial stage of the pilot where we can address jointly, in some sort of partnership, the traditional trade. So it's still in too early stage to tell you how the footprint or the logistic network would be set up. So we're trying several avenues. Still too early, Felipe. 
Felipe Ucros Nunez: No. Got it. I imagine that was the answer, but worth trying. 
Operator: There are no further questions on the line. Please proceed for your closing remarks, sir. 
Ian Marcel Craig García: Thank all of you very much for your confidence and interest in Coca-Cola FEMSA. We look forward to meeting personally with you soon as we continue to engage in more interactions with the investment community throughout the rest of the year and throughout our tenure. In the meantime, our Investor Relations team, led by Jorge, is available to answer any of your remaining questions. Thank you. 
Operator: Thank you for joining today's call. You may now disconnect.